Cary Segall: Hi, everyone. Welcome to ADS-TEC Energy's Full-Year 2022 Earnings Call. A recording of today's call and a presentation can be accessed shortly after concludes from the investor section of our website. Joining me on today's call are Thomas Speidel, Founder and CEO of ADS-TEC Energy and Wolfgang Breme, CFO of ADS-TEC Energy. Today we will be discussing ADS-TEC's latest financial results for the full-year 2022, guidance for 2023 and conclude with a Q&A session. Please note to ask a question, you will need to dial-in with the telephone details provided. During the call, management will be making forward-looking statements regarding full-year 2023 and onwards and the outlook for expected growth and investment initiatives. These forward-looking statements involve risks and uncertainties, many of which are beyond our control and could cause actual results to differ materially from our expectations, including, among other risks and uncertainties, supply chain issues, the war in Ukraine and geopolitical challenges. These forward-looking statements apply as of today, and we undertake no obligation to update these statements after the call. For a more detailed description of factors that could cause actual results to differ, please refer to the risk factors section of our Annual Report on Form 20-F previously filed with the SEC and posted to the investor section of our website. Also, please note that financial measures presented on this call adhere to IFRS and non-IFRS. We use non-IFRS measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with the IFRS measures that we provide. A reconciliation of these non-IFRS measures to comparable IFRS measures is included in the earnings release and investor presentation. [Operator Instructions]. With that, I will turn the call over to Thomas Speidel, ADS-TEC's Founder and CEO. Thomas?
Thomas Speidel: Thank you very much. A very warm welcome from my side and from Wolfgang to this call. I'm happy that you take your time and go with us through this earning call. Let me start with some information about our product portfolio and where we are. As I guess most of you know, the ChargeBox is the product which is already out there in the field and which is our battery-buffered Supercharger being well received and up and operating. We have now and you will see that later not only our initial customer from the automotive business, now we have more customers. And I want to show you later in the presentation where the ChargeBox meanwhile is operating and serving not only in the EV business, but also in related businesses of mobility such now, the first time also for electric boating. The second product segment also battery-buffered charging. We have announced it and we are proud that we made it on time last year due to all the difficulties in supply chain and shortages. It's the ChargePost, the ChargePost similar technology so we can connect to the existing low power grid. In this case it is all-in-one solution, so no separate dispenser and we add it to up to two big advertisement screens which allows us to offer our customers more revenue streams. And this is very important to understand the ADS-TEC's business model. We are not a component supplier. We are providing platforms including hardware, software and services over long-term periods that allows our customers and partners to operate their business to the end customers. ChargePost has been launched as expected 2022 and we also will see later a little bit more information about the ChargePost. It's very well received. We have presented it the first time on the new exhibition in Stuttgart here Volta-X and mainly from infrastructure investors and operators we get a very solid feedback. The reason is it's easy to install, it's providing many different revenue streams and as I said in this case the advertisement comes on top of it. The PowerBooster, so these two segments PowerBooster and Storage Rack Systems. That's our commercial industrial business which we are doing since many, many years. Here we have updated and expanded our portfolio, so new batteries as we have announced it. So new cells and modules came in and this year, 2023 we are starting to deploy the new and expanded systems to the market. Next page, please. Don't see it. So what we see here and that is important to understand and to know why is it important that when I speak about, we are not only a component or hardware company, it's a platform business, eco-platform business. And we see that here, the circle we start with the hardware and that's important because if we don't understand the hardware and if we don't have the ability to act on any level of the hardware, we cannot provide long-term services. And this is what in current discussions with customers and if I may say, I am in that business now for 12 years and at the beginning people were starting with demonstration units, we had first projects or with very early state customers. But now that is changing. We are talking more and more to infrastructure investors which are interested in investing in a larger portfolio. But that portfolio must be managed. And as you know, if you listen to our general business model, we want to be the partner for these operators to run the business not only for years, but for decades. So very long time periods, that request that we can act in hardware, software. It ends up in services we are providing. And we see in these circles here on the slide, we start in the center with the hardware and then we add the software and the operating system, the security stacks and the services. We even provide basic apps and we compare that so on the right side, you see a mobile phone. Just to give an analogy, how that works, if you have your smartphone, then you also get a platform, including sensors and actors. You get an operating system including the security, the back-end connection, the ability to store data in the back-end and to analyze it. But also apps are provided on the device. The same is in our business. So we are not only providing the platform, we are providing basic apps. What are basic apps? Basic apps are for example, charging, billing, calibrated, DC metering, connection to back-ends, to SCADA systems from our customers and partners so they can operate our platforms out in the field. And that's the way how they can scale, important will be and we will see that later. Now, after the initial installations have been done, we see that the services are getting more and more important. We have told that when we made the pipe presentations before our DSPEC [ph] and we mentioned that the service will come after the initial installation and setting into operation phase. The reason is availability and maintaining the platform and offering services to adapt the platform to all of the changes we see in the, let's say all electric world out there. That's key to operate your business and to make revenue out of the investment. That is important to understand and that applies for all of our platforms, whether it's the battery-buffered charging, whether it's the battery system, including the controls on that side. This is also the reason, and many people are asking us, why are you not offering non-battery-buffered chargers? There is a market for non-battery-buffered chargers. It is just converting AC to DC on a high power scale. The reason is that we believe we need to have the multi-revenue streams. So not only one business model transferring AC to DC, we want to offer our partners and customers revenue streams coming out of grid services, peak shading, whatever else might be in the future available for grid or flexibility services. And in addition, for sure charging with the battery, we can also offer to use the local generated electricity, which makes it in total cheaper, more convenient and so better for the end customer. Next page, please. So, I don't know whether we see now it takes a little bit, a few seconds, now we see the next. Before we go into the financial detail and just let me talk about some operational highlights, we communicated last year and I will pick up on that one slide later about the issue in the supply chain, I think that has been a common problem. We got hit by some major components. So we have not been able to, for example assemble some PCBs and then if you don't have a PCB, then a complete inverter or whatever it is cannot be made. So we started then ChargePost, which did a very good job. So finally by end of the year, many of these issues had been solved and we see later how that turned out in terms of how many products we have been able to produce and how we overcome the supply chain issue and where we are today. The second thing which was very important for us in 2022, I mentioned it already, for us it was very important that we do not delay or postpone the launch of the ChargePost. We have announced the ChargePost for 2022 for Europe and we delivered the ChargePost and the launch in 2022. We have also shipped the first systems in 2022 to our initial customers. You see here on the picture a real example which is in front of our office, where we also get an impression about the advertisement screens and the opportunities arising out of that additional business. As I mentioned, the ChargePost will besides the ChargeBox have a very significant part in our portfolio and also for the future business and revenue stream. The reason is, and we will come to that later, we see more and more demand for Supercharging in not only on the autobahn or on these ChargePost but more and more in the city close to the office buildings or industrial sites. We will see that later in the presentation. Strategically, we are focusing on Blue Chip partners and strategic customers. The business model of ADS-TEC is not to operate the units by ourselves. The business model is not that we are selling electricity to the end customer or managing the local regulation. Our business is providing the platform, the services and to enable these partners so that they can scale their business, saying that, it ends up in the focus on these strategic partners having not only five or 10 sites, so they rather have many, and so we can scale with our customers. And the customers are using the benefits and the opportunities which are provided by these platforms and integrate it in their own software. And that is a reason and we need to understand that it takes time to integrate the units into the business and into the software and into the business model of our partners and customers. We call them internally the future power companies, because we are thinking about the segments. For example, classic established utilities, but also oil and gas companies and ending up with new codes coming out of the digital energy management segment, which know how to, for example, use flexibility in terms of buffers and combine that with photovoltaic or grid services, and then operate and manage these units in a larger scale. So these are our customers. And our focus is going more and more to these bigger and strategic partners. And that is what we did in 2022. And as I mentioned, to get into such a customer, that is nothing. So the sales cycle is not just yet that you present the unit and they do one or two tests. It's something I always say, it's like pregnancy, which takes nine months, and if you try to shorten it, then it might not end good. So the same is here when we go to a new strategic partner or customer. It takes time. It's not a product that you sell just off the shelf. On the other side, if we are in the business together with our customer, then both sides have a long-term relationship, which is important for both parties in the business. We have our business over long-term, providing the technology, the services and the add-ons and the data, access to the data. And our customer, they have a partner where they can rely on over long-term periods, so their investment is not standard. They can use it even if the conditions and the parameters might change. Next page, please. Let me start before I hand over to Wolfgang, our CFO. Where do we come from? What has been the last communication and where we are now respectively, end of 2022. So the press release or the statement in September '22 has been that our revenue projection will be above $80 million for 2023. That was based on a solid order book and on a secured production capacity in our factory. Then out of a sudden we had the problem with the supply issues. We communicated that immediately in October as soon as it came up and we said that we have to cut the projection, because we needed to get the material or the components and to get that sort of now. What has happened between October and end of the year? As I mentioned, our team has successfully managed the major supply issues and that has been material hunting. So where can we get the missing parts, which ends up in brokerage and other things. But now and that is a big advantage of ADS-TEC due to our ability to act and to make all changes even down on the PCB level we did and that was a big challenge for our technical people. We have been able to replace components. And here I think that's a big point also for our customers that just in case, if we hit or come into situations like that, material shortage could be because of a situation like now, which is as we know from COVID or the war in the Ukraine or whatever might be part of the reason. But in many cases over time just components are phasing out and here we see that it is important and that it is a benefit if companies can then act and change even on the low level PCB site. And that's what we did. So in the remaining months from October to end of the year we produced systems and performed services from the factory. The factory is in Germany, so in the U.S. where we have started our site in Auburn, that has started with services and warehousing. We have produced here a number, which is now it's not on the corporate level, but it's on the GmbH level of €45.6 million. And we shipped the finished goods to the U.S. before year end what has been our target. So if you calculate the ships and the time to ship it to the U.S. Then you get an impression how much pressure we had and what we finally have received in this difficult situation. Unfortunately, clients have not been able to take the products by end of the year. And that is then the reason what we will see also in our financials. We have shipped them and the finished goods are by end of the year in our warehouse and in the U.S. And the facility, and will now be moved in 2023. And with that, please next page. I am pleased to hand over to Wolfgang and he will go now into the details and the financials, where we will see what that means, because Wolfgang, here we are.
Wolfgang Breme: Yes. Thanks, Thomas, and good day to everybody. After covering our full-year result 2022, including revenue, operational expenses, EBITDA and cash, I will provide guidance for this fiscal year full-year 2023 in respect to revenue, order book and profitability. As Thomas already pointed out, we successfully managed the supply chain crisis in the second half of 2022. We were able to produce systems and perform services of €45.6 million out of our factory locations in Europe. This said we were impacted by certain clients not taking products by December 31. This means that our full-year revenue was €26.4 million, down €6.6 million from fiscal year 2021 revenue of €33 million. The decrease in revenue from contracts with customers for last fiscal year, in comparison, is mainly driven by lower than expected sales in the United States and also, of course, the supply chain pressures we faced during the course of last fiscal year. From a product perspective, the majority of our sales, like in previous years was generated by our charging products, ChargeBox and ChargePost also included already as Thomas pointed out, we sold ChargePosts and revenue ChargePost last year, which accounted in total the charging products for 74% of total revenue. Commercial and industrial product service and others were 26% of our total revenues. From a geographic perspective, 2022 revenue was 74% from Germany, and 26% from other European countries and the United States of America. Turning to gross profit and loss, our full-year 2022 came in at negative €4.5 million, down from negative €2.3 million in full-year fiscal year 2021. The reduced gross profit mainly resulted from higher than expected supply chain costs and lower output. As you remember, because of material shortages, at some of our suppliers we had to revert to brokers to complete our customer orders. Since then, we have redesigned our supply chain and we are comfortable that we will return to gross margins as we have seen in the past. Secondly, the buildout of our manufacturing facilities both in Europe and in the United States led to an increase of payroll related cost in the costs of goods sold. Coming to operational expenses, we saw a significant increase in sales, general, and administrative expenses. In fiscal year '22 in comparison to '21 SG&A expenses accounted for €31.3 million in 2022, compared to €13.3 million in full-year 2021. Legal and consulting stayed on a higher level, because of the merger with USG and being a publicly listed company now, please don't forget we are -- it's the first year 2022 for us being a listed company, the first full-year. Personal expenses were increased because of the buildup of our production facilities in Germany, our U.S. presence in Auburn, Alabama and general growth of the business. Furthermore, the first time recognition of stock option expenses accounted for €2.8 million and insurance expenses, including the necessary D&O insurances as a public company were €2.3 million. Our operating result came in at minus €⁠36.4 million compared to minus €18.6 million in full-year '21. Adding back, depreciation and amortization of €4.6 million -- €4.3 million result in an EBITDA of €32.1 million for fiscal year 2022. The finance income of positive €20.5 million was largely driven by income from the remeasurement of warrant liabilities and foreign currency gains because of the stronger U.S. dollar compared to the euro during last fiscal year. Our result for the period net income is minus €⁠18.9 million for full-year 2022. Quickly turning to the balance sheet. Inventories rose to €40.1 million, driven by the reasons mentioned before and higher than it expected business volume in the coming quarters. Trade and other receivables increased to €17.7 million, mainly driven by higher trade receivables. Trade and other payables went up on the credit side of the balance sheet, because of growing deposits from our customers. Our cash balance is €34.4 million, down from €101.8 million at the end of 2021. This was driven by higher working capital and operating losses as commented on already. Next slide, please. Now let me come to the outlook for fiscal year 2023. For this year, we expect revenues to exceed €100 million. This target is underpinned by a strong order book of €90 million in binding orders from quality customers and of course, by the substantial growth we currently see in the market, driven by strong customer dynamics and the general development towards electro mobility and CO2 reduction of initiatives all over the world, especially in the countries we are focusing on, which is Europe, European Union, U.K. and the United States of America and Canada. On those revenue levels exceeding $100 million. As I said, we will be will be the highest revenues in the company's history. We are expecting also a break even to positive EBITDA. Before I end, let me report on a very important event and achievement after December 31, which we also published today as a 6-K on the SEC website, which you can access through our website. On May 5, ADS-TEC Energy's entered into an unsecured shareholder loan with multiple shareholders amounting to a total of $12.9 million, thereof $7.1 million maturing on June 30th and $5.6 million of 2024, and $5.8 million due on December 22, 2023. The shareholder loans can be drawn down by ADS-TEC Energy as required. This strengthens our balance sheet and is a strong signal and commitment by our shareholders. Needless to say, we are not intending to raise equity in the next foreseeable future. A quick look at 2024 and beyond before I gave back to Thomas. We anticipate substantial growth driven by very strong customer dynamics and market trend for 2024. So very positive outlook here. And with that, I turn back to you, Thomas.
Thomas Speidel: Thank you, Wolfgang. And I think we can see here on that slide that the strong order backlog of €90 million and what we expect in revenues it's very close. So we want to be on a site where we really see that that's going to happen due to all these or based on all these things we cannot calculate like we saw it last year. Let me go into the details and why we are so positive in terms of what's coming and what's next. And one thing, it was just announced a few days ago. We are working with our partner JOLT since many years, having the same vision. And JOLT is one of these future power companies using our products and running their business case on the platforms. And I don't know whether you have seen it, but it was published in many main media that JOLT has now get a lot of funding. They have received €150 million now and they have a pretty significant and big growth plan over the next years. And we received directly a new order, significant double-digit number of ChargePost. So we start with JOLT, the growth now in Europe and also in other countries. So if you want more details about that, then please go to the JOLT website and to the press releases. We see here Maurice, the CEO and myself on a site in Stuttgart where I will later give some more details also about the utilization and the performance. And then that gives us an impression why the technology and the battery-buffered Supercharger makes a lot of sense, especially in these kind of areas downtown and close to factories, facilities, office buildings and even in the countryside. Another thing which is important for us, and I mentioned it at the beginning is service. We see not only with JOLT but also with other infrastructure investors where we are either in negotiation or have already contracts, that service will play a very big role. We expect more and more service contracts to be signed on long-term service agreements because it is necessary and it is key that the units are available. We see that in the complete EV business that people are only accepting chargers being always on and providing the electricity or the charging capacity being requested by the car. In the service business, we have three models which can be negotiated in detail then about what data shall be offered, what access to our cloud is required. Are you asking just for a second level support or a third level support? So here we can a little bit tailor made adapt our services and offerings to our customers and partners needs which allows them to integrate not only the hardware with the interfaces but also the business model and the services in their own business model. And that is slightly different from partner-to-partner because they are running already infrastructure software packages, back-end systems or trading accounts for electricity. And so it's important to bring these together. And we see here more and more coming business over the next year, not only with new customers, but also with the existing ones, who we expect or where we expect that they are jumping on the bus to also get the services for a long-term period. Next page, please. Expanding the business is one of the key things. And let me just say something about that. The infrastructure business, how we call it is getting more and more important infrastructure means, first of all, of course, there are ChargeBox which are directly connected to the grid in almost all of the today's installations. That's not our business. We see that from these major suppliers. ChargeBox along the highways and autobahns. We are focusing on the decentral side. And there you need infrastructure partners because this is in park houses, this is as I said, close to the buildings, to the real estate. And it is always linked and combined with infrastructure not only related to the sites, but also to the regulations. You may have to apply for it, you may have different local regulations. It can depend from the grid provider or from the electricity company. And all of that has to be taken care. And that is exactly what our partners are doing. And we have explored the market. And one segment which is important for us, that is the rental cars and the fleet business. And I'm proud to announce today that we have one first really relevant and leading rental car company which has now taken the first units for their sites. And we know and have read it in the news that also the rental car companies now will go more and more into the EV and in the electric powered offerings to the end customer and therefore we can imagine how many charging opportunities we need just when we go on vacation and we pick up the car. Then we need a supercharging opportunity because nobody wants to wait for hours just to go to the hotel or wherever the place might be. The second thing which is important for us and I said we are concentrating on blue chips and strategic customers. We have been able to sign a framework agreement with the Blue Chip listed oil and gas company. We call them also the Future Power Company, as I said at the beginning, because all of these companies are in the transformation not only from the CO2 reduction but also from what is coming up in the all-electric world. And for us, it's important to be also in this space. And it took us many, many months to get that contract done. And we are proud that this is another partner where we expect the first deals now kicking in 2023 as well. Next page please. To understand why this business is really strong and it's getting stronger. I want to share with you the proof that has been made. And here we see three sites in Hamburg, Stuttgart and Frankfurt where the ChargeBoxes are installed with our partner here in the example, it's JOLT and we see that the utilization rates are really going in a high level and a lot of people have not expected that battery-buffered chargers are able to provide such a high utilization. Normally in all of the discussion people mention hey, there is a battery inside the charger. So okay, we have understood that we can charge the internal battery, when the car shows up, the battery will drain, but it takes time to recharge the internal battery, so the utilization must be low. And here there is one thing which is important. If we just take the number, the expected number of EVs in 2030, which is the plan for the U.S., United States as well as for the European Union, then we talk about 30 million of pure EVs in 2030. So that's a way to go. But if we just take that number and we say the amount of electricity which is needed to operate and run these 30 million cars and now let's take a bigger one. So assume it's a Tesla more or less or something like that, then that ends up in a demand for electricity which is about 90 terawatt hours a year. That is not really a lot if we talk about electricity. So one rumor which is natural is that we don't have the electricity. The problem is, do we have it everywhere, anywhere and do we have it in the necessary power quality and the rates that we can charge within a reasonable time? And if we take these 90 terawatt hours and cut them down, then we know that one-third will be charged at home. Let's say low power destination at offices is the next third. And one third is expected to be charged on the go, which we call supercharging or ultra-high power charging where it's relevant that you don't have to wait. If we talk about that third of 90 terawatt hours, then that is 30 terawatt hours. If we just take for an example the European Union, that would mean that's the amount, that's the demand of these 30 million cars being out there from Portugal to Denmark, from Eastern Germany to Great Britain, so it's a widespread area having that demand. So what we need is we need a decentralized installed base. And now we come to the conclusion if we have chargers with a high density, then the utilization is even going down, it's not going up. And that is what we see here. If we are reaching with a battery-buffered charger, utilization rates in this range, why do we need, except of highways and where people are charging bumper-to-bumper 24 hours? Where do we need then a grid expansion which is expensive and might be used only a portion of the year? Next page, please. In saying that, I want to go a little bit deeper to explain, here we see it. So this is that we understand why is it so important and why is it so powerful to have battery-buffered chargers being able to provide this performance? This is now the proof. And it's a timeframe. It's a session of one car. The car here charged 25 minutes. In the 25 minutes, 68 almost 70 kilowatt hours of energy has been delivered. And the power rate was pretty high. It went up to 268 KW. So that is, let's say it's the upper level of the charging power, which is taken today from a car. And what we see on the right side is the dark blue shaped area. That is what we get from the grid. So in this case, the grid connection was, the remaining capacity we got was 100K. But we see that the car at the beginning and then over that period of time, what is it, 20 minutes, something like that, or 80 minutes, the car is asking for more than the 100 kilowatt hours -- kilowatt, and that is the light blue shaped area. And this energy is provided by the internal battery. And we see in the Green segment, that's the second graph, we see how the internal battery drains. And what we can see that until the demand from the car hits the supply from the grid, we are only dropping from a state of charge from 100 to, let's say roughly 80. It's above 80. And then we are already recharging the internal battery. So it's kind of a breathing system where we only need for a specific time or where we boost the demand of the car. But for the user, it's a great experience because in these 20 minutes, he can charge 30%, 40%, 50% more of electricity, that saves time. It makes it very convenient, and you can do that almost anywhere. So on sites being available, it can be used for private charging, which allows us then to integrate our own photovoltaic. We know how expensive electricity now is. We know in Germany, for example, I know that it's in San Francisco, the same that solar on the rooftop is getting, it's a mandate. So if people having solar generators on their rooftops, it makes absolutely sense to use this two free and this cheap electricity on your own premises, on your own site. And the battery-buffered chargers, they help you now in more than one way. They give you a supercharge, which is convenient, but at the same time, they help you storing your own electricity and using what you have harvested on your own site. Next page, please. And the question now is from many people, okay, that is a one shot. We have one session. But what if there is more than just one session, and this is real data. What we see here, and we see a timeframe of one week, it's 13th of March until 20th of March, and we see in one week, and that is now, currently, it's installation here in Stuttgart, 139 charging sessions, ending up in almost six megawatt hours of delivered energy to the cars. And what we see here, the blue lines, the spikes are the charging sessions. We see that the power went up to 268 as well. So also the premium cars have been used and go there for charging. But more important is that we only see once that the internal battery dropped down to a level which is not zero, but it's closed, so it went down. And that is for this investment, it's six megawatt hours. If we just assume that's an example, we would sell the electricity on €0.65 [ph] per kilowatt hours that would end up in revenue just from discharging of almost €4,000 a week and on an annual basis then roughly 200,000 or whatever you take on the utilization over the year. But what we want to show here, that the idea when we presented that, when we started together with Porsche developing that product, nobody had the real data. And in many, many discussion also during the slide presentations I made, the question was okay, if there was one car charging, we understand it, but therefore it's very expensive. What if there are more than one? And in combination with what I just mentioned about, if we really have 30 million cars out there and there will be more charging opportunities than we really need. So there will be a distributed utilization for the charges and people will overcharge where it's convenient and where it's cheap. So we will get a distributed behavior. And that means at the end only making revenues out of selling electrons might be not a business on any sites, it might very high frequented sites on the autobahn for sure. But we want to charge wherever we are. And next page please. This is something we see now on our customer base. And I'm proud to show you some examples, because it's always about pictures and what they tell us and where we see that it's real. And just some impressions here. So the picture on the upper side of the slide, that's the new headquarter of Porsche, the Porsche Tower in Stuttgart. It's their flagship store. And that building has been completely -- it's completely new, brand new. And even there, they decided to put two ChargeBox in front of the main entrance, together with four dispensers. Two of them are public, two of them are only for internal use for Porsche. But we see even in this infrastructure and that's a flagship store where many, many people are coming in and where people are ordering cars for test drives. The ChargeBox has been chosen and not a grid connection. We see on the left side the green picture, this is a fleet in Austria. And why have I picked that picture to explain it here in the earning call? Because I see a very strong business coming from people owning office buildings and fleets. Normally, every company are having more than 200 people or a fleet of 20, 30 cars in the near upcoming future, they will, they must have EVs, let's say 20%, 30% of the total amount will be pure EVs. And in that case, it absolutely makes sense that the management, the guests, employees can charge, just in case also in a short period of time. For sure, you will have the low power charges and there's no doubt. But here we see they have a fleet and the fleet must be operated 24 hours. And therefore they cannot afford to go to a supercharge park whenever they need to recharge. And that is why they needed a charger at their own premises inside. And here we see there is very less space, but the ChargeBox can handle that. So it's easy to install, we can split the dispensers away from the ChargeBox. And that's exactly what they did. And not again talking about additional business models, which I mentioned, it's only charging. And even there it makes sense, modern buildings and we talk also to real estate development companies. They will in the future not only offer an elevator or an air condition, they also will offer charging. And then we see here the gas stations, I don't want to mention that in detail, but here we see also in Berlin, Downtown, they ripped out the vacuum cleaner, put into dispensers and the cube just close to the transformer. And then you have an upgrade for a gas station. Next please. Important also, and I mentioned that, is the opportunity to charge downtown and wherever people are. And that is mainly what we see here, whether it's fast food restaurants, on the left side, one more gas station, but on the right side we also see a residential area in Spain. In Spain, normally the grid connection is very weak. Most of the people have only a single phase connection to their private homes. And if now EVs are kicking in and people getting EVs as a private car, where do you charge? And the average people are driving is about 200 kilometers a week. So if you share charger, like the ChargeBox in a community or in an apartment house or condominium, then people do that once a week. And that's only about 50 charging sessions a year and if we calculate that so they can have a shared service. And just in case, when you come home, you make a brief stop whenever it's needed, and you fill up your car, in let's say 10 to 20 minutes, and just checking your email so you don't even get out of the car. And we expect that to be more as well, together with our partners and installers and infrastructure developers. Because now cities are always also asking about charging infrastructure, not only the level two low power charges where people need to stay seven to 10 hours or more. Next page, please. Now we speed up a little bit so that we have time for Q&A. We see here, and I mentioned it at the beginning, that we are now going into different segments. So the gas stations we mentioned already, also the fast food restaurants here we see another one on the left side that is now a construction company. And the owner of the company, it's a well-known here, he got his first EV and the first decision he was taking is he said, I need a supercharger directly on my side. I'm not willing to drive to a park. It must be convenient for me, for my customers, for my employees. We see that on the left. And the funny thing is, at the beginning, he opened it for the public, and then it was so occupied that he needed to close it again, because it was really a hotspot. Next page, please. And that shall be then also my last one before I hand over to Q&A. But I just want to give an impression what is in front of us. And it took some time, it took time to get the technology done to develop everything to get the production up and running. We have recently or we're having that all the time that infrastructure investors want to see also the facility, the quality they are doing due diligence on our also production and quality assurance. Because if you really scale then that is important as well. What we see on the left side, and that is it has been already communicated that is a site of our new partner, Amperio. Amperio is a daughter company of Slate Asset Management, a huge infrastructure fund, having own sites and also other sites. And we see here these first installations. They have ordered a 100 units now of the ChargePost and we see even existing parking spot that busy as a parking house, can be expanded or can be equipped with a supercharger. And therefore here the ChargeBox or the ChargePost is the right solution. Not only cars and this is now what I wanted to mention, that the segments are going to be expended. We see trucks here. The upper picture is a truck in the Netherland where we see now that this business is also going to be electric. And they like that we can charge up to 300k. On the right side we see a bus that's a bus, which is operating in Luxembourg. And last but not least, I mentioned the EV boating business. We see sport boats, but even bigger boats now being fully electric on the lakes. And we expect that more and more lakes will request electric powered boats also for the water sports. And that is the first installation for Artemis. And if you're interested, you find on Google. If you type in Artemis and charging station, you will see these pictures as well. So, before we run out of time, thank you for listening to me. And I want to summarize so far that we really see now that the businesses is ramping up in different segments, as I tried to show, because it's always to see what is happening and not only to hear it. And I wanted to point out how solid and how powerful the services and the performance of the system itself are and what they can deliver also in the utilization side. With that thank you very much. And I want to hand it over to Q&A and who is taking over that.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Pavel Molchanov with Raymond James. Please go ahead.
Pavel Molchanov: Thank you for taking the questions and appreciate all the details in your comments earlier. Let me first ask about the outlook for 2023. Of the €100 million of revenue that you are expecting, how much was originally supposed to have come in 22?
Wolfgang Breme: Yes. Hi, Pavel. How are you? Nice talking to you. So it's, of course, hard to assess in infrastructure business how much is shifting from one year to the other and I'll give it over to Thomas just from some strategic aspects to that.
Thomas Speidel: Yes, Pavel. So this is -- we took out from last year, because I mentioned that we had problems by end of the year with the units we have produced, but so far have not gone out to the customers. So we have been very conservative on that. So last year, if we take that on top, it has been more okay, let's say me that one. It has been more so we have been conservative in this case.
Pavel Molchanov: Okay. And can you share how much, because we're now in May, can you share how much revenue approximately you had in the March quarter?
Wolfgang Breme: Yes. Hi, Pavel. We are currently not sharing any quarter information, because we just finished the fiscal year audit. And we are now focusing on the numbers of the first and second quarter. And as you know, like last year, we will come out with half year numbers as soon as they're ready.
Pavel Molchanov: Please, go ahead.
Thomas Speidel: No, I just wanted to say that in the press release we made today, that we also have stated that other new customers came in and the volume we have also disclosed. So if you look at that and take all the information you get, you might get a picture, but we are not able as there to communicate it now.
Pavel Molchanov: Okay. What is the geographic mix that you anticipate in 2023 revenue between Germany, other Europe and U.S.?
Thomas Speidel: Yes. The expectation is that in the U.S. We will be -- in percentage, it will be 10% to 15%. Because why? We started in Europe many years earlier than in the U.S. And it is important to understand that. And I tried to mention that at the beginning of the call. Infrastructure business is not an off the shelf business. You have to get into detailed communication and testing phases in all the approvals. Now even if the system is certified, that doesn't matter. It takes time. And we see in the U.S. that we have a strong pipeline, but we started with initial installations and testing and approval sites. And that is the reason why I think and that is the plan that the U.S. will have a delay in the growth, but it will be a huge market. And that is the reason why we have and that has been the right decision to start in Alabama. We have made the right decision to have our own service station in the U.S. Because systems are out and running in the U.S. and not less. And if you ask me about 2023. So my expectation would be it's between 10% and 15% in the U.S. But that's not the end, it's just the beginning. That's difficult to understand, because if you start a new business in a new area with a new market, with not many EVs now out in the market, then it takes time. And we saw exactly the same in Europe and in Germany. And to finally answer your question about Europe, we see it will be a distribution between Germany and also the other European countries, including Switzerland and Austria. And we also see that Great Britain is a big opportunity. The detailed share which of the country will take what, I cannot even say, because when we are, and that is our business model delivering to our customers, then normally it's that they have the sites, and we don't even know exactly today where they are installing the units. So, just an example for you. If we get an order of 100 units from Amperio, which is the case, then we do not know today where the installation will be. So I just cannot tell it now. We might tell it later when the installation has been done.
Pavel Molchanov: My last question is, can we get an update please, on the residential energy product that you have been working on?
Thomas Speidel: Yes. So, as I already communicated, we have not stopped working on it on a lower level of priority, because we need all our resources for 2022, as I mentioned, first of all for the replacements on to rescue the material issue and also to get the ChargePost out as planned. So that has just been a resource issue. And the second is we are now observing that the home market is booming. Myself, I'm the President of the German Energy Battery Storage Association and we see that now more and more off the shelf products also from Asia are kicking in, and we are a little bit in an observation role, because and now we are coming back to the business model. For ADS-TEC in our view, it makes only sense if we can get into business partnerships where we are not only asked for the hardware and the basic software, but for the complete scope, including services and long-term business cases. If it's only going into the business in the direction of bulk ware, where price is the main focus, then I think we should reconsider and mainly concentrate on the business where we see that the company strategy can fully play out. So have we stopped it? No. Are we pushing it right now? No as well. And are we a little bit -- or are we observing what the market is doing? Yes. And if we look at the new companies are out there, you might have seen that you now can order over the internet and installers are picking up the systems. And we have seen now that they get China deliveries directly on their premises or on their side. So there's nothing in between anymore. And that's the reason probably why we are here a little bit in a careful or not bullish role for the company, we want to go into business, which is called for ADS-TEC.
Pavel Molchanov: Okay. Thank you very much.
Wolfgang Breme: Thanks, Pavel.
Operator: The next question comes from Matt Summerville with D.A. Davidson. Please go ahead.
Canyon Hayes: Hi. This is Canyon Hayes on for Matt Somerville. Thanks for taking my questions.
Wolfgang Breme: You're welcome. Hi.
Canyon Hayes: Just in your pathway to sustained free cash flow positivity, how much incremental capital do you foresee needing?
Wolfgang Breme: Could you repeat it? Because I couldn't kept really hear you.
Canyon Hayes: Sorry about that. In your pathway you sustained free cash flow positivity, how much incremental capital do you foresee needing to make that happen?
Wolfgang Breme: As we said, we do not anticipate any increase in equity in the foreseeable future. So if we achieve our goals and targets, which we have communicated in that call, we are not envisaging to raise additional equity.
Canyon Hayes: Thank you. Could I get a little bit more color on potentially why customers were not picking up orders from Alabama?
Wolfgang Breme: Yes, you can. I mean, as Thomas pointed out, some of the customers in the United States have not picked up some of the products. And as we pointed out, we are an infrastructure business. Of course, we have to be careful, because we cannot name our customers and we should not give any hints to who they are. But in infrastructure, we see cases in which customers were not successful acquiring sites, were not successful acquiring both public and private funding, and therefore they could not take the systems at that point. Let's say in a nutshell, Thomas, what it is, isn't it?
Thomas Speidel: Yes.
Canyon Hayes: Great. Thank you for that color.
Wolfgang Breme: Please go ahead, operator.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Wolfgang Breme for any closing remarks.
Wolfgang Breme: Okay. Thank you, operator. Ladies and gentlemen, this ends our ADS-TEC Energy's 2022 earnings call. Thank you very much for joining and for your continued interest in our business. Stay tuned and have a good day wherever you are. Bye-bye.
Operator: The conference has now included. Thank you for attending today's presentation. You may now disconnect.